Matt Dusci: Thank you, operator. Good morning, everyone, and thank you for joining the call this morning as we present our operating and financial results for the March quarter. Joining me on the call today is Kath Bozanic, our CFO. Slide 2 highlights our cautionary statements and disclaimers. Of note, all currency amounts are in Australian dollars unless otherwise noted. Turning to Slide 3. To commence this morning’s presentation, I would like to draw attention to our ongoing efforts towards enhancing safety, well-being and the engagement of our people. Our people are our priority. As highlighted in previous quarters, our recent safety record has been disappointing. Over the last year, we have amplified our focus on critical risk identification and management. It’s pleasing to see improved safety lag metric outcomes over the last few quarters, although we acknowledge there’s still work to do as we improve our safety performance. We have a fantastic group of people and a unique culture. An important measure that we track at IGO is our employee engagement. It is an annual pulse of the organization to understand the strength and weaknesses of our culture and most importantly, identify where we can improve. Our 2023 survey, the first survey conducted since we welcomed in the Western Areas team into the business, was completed in April. Initial results indicate a strong employee engagement across the business, underpinning the strength of the IGO culture. Turning to Slide 4. Our key highlights for the quarter again demonstrate the strength of our business. These highlights include record quarterly earnings and net profit after tax and repayment of our revolving credit facility, leaving our balance sheet in an excellent position. Our lithium business had another great quarter with Greenbushes delivering consistent production and cost performance while higher lithium price helped drive strong margins and free cash flow to IGO by way of another strong quarterly dividend from TLEA. In our nickel business, we have seen the rapid recovery of the -- from the power station fire at Nova last quarter. We also secured a strategic parcel of land at Kwinana for our proposed integrated battery material facility, a key part of our downstream strategy. And finally, we’re also pleased that our commitment to sustainability continues to receive third-party endorsement with recognition from S&P and Sustainalytics that IGO is a sector leader in sustainability. I also note that we advised in the quarterly of an anticipated impairment on the nickel assets acquired through the Western Areas transaction, provide some detail on this later in the presentation. Turning to Slide 5, where I’ll provide an overview of our March quarter financial results. Of note, group sales revenue of $236 million which excludes contributions from our lithium business was marginally lower due to lower sales from Forrestania. IGO’s share of net profit of TLEA, our lithium joint venture, rose to 30% quarter-on-quarter to $450 million. Quarterly EBITDA of $533 million and net profit after tax of $412 million were both quarterly records, and strong underlying free cash flow of $284 million enabled the repayment of our $240 million revolving debt facility and thereby reducing our net debt position to just $9 million. Turning to Slide 6, where we’ll lay out the quarter-on-quarter movements in net profit after tax. The key contributor to the excellent result was a strong increase in our share of profit from TLEA, driven predominantly by higher revenues from Greenbushes. Other factors include lower tax and a lower contribution from Forrestania, offset by a marginal movement in mark-to-market value of our listed investments. Turning to Slide 7, where we reconcile cash. As shown here, we had some large movements in cash over the quarter, including inflows of $321 million dividend received from TLEA and $92 million of free cash flow from Nova. Key outflows included $240 million in debt repayments as mentioned earlier; our record interim dividend payment of $106 million to shareholders; and $93 million in development expenditure at Cosmos. As at the end of the quarter, IGO’s cash at bank was $441 million with a total debt of $450 million. Turning to Slide 8, and on to a discussion of the lithium business, which is held by a joint venture interest in Tianqi Lithium Energy Australia, referred to as TLEA. Turning to Slide 9. TLEA recorded another outstanding quarter, driven primarily by a 45% higher quarter-on-quarter lithium prices. We delivered a 30% increase in IGO share of TLEA net profit to $450 million and a quarterly dividend to IGO of $321 million. This brings annual -- total annual dividends received from TLEA to $761 million. I’d also like to note TLEA’s proposed scheme of arrangement to acquire Essential Metals, which was originally announced in early January. As has been reported, the proposed scheme did not receive sufficient shareholder vote to be passed at the scheme meeting held last week. As a result, TLEA has terminated the scheme implementation agreement with Essential Metals. TLEA will continue to assess opportunities to grow its lithium business through M&A, but we’ll only execute transactions which can deliver value to its shareholders. Turning to Slide 10, we will discuss performance at the Greenbushes Lithium Mine. Production was marginally lower quarter-on-quarter to 356,000 tonnes due to lower run times on CGP1 and CGP2, offset by higher feed grades. Despite spodumene sales being 13% lower quarter-on-quarter, the highest spodumene prices noted earlier drove sales revenue and EBITDA to $2.8 billion and $2.6 billion, respectively, on a 100% basis. This represents an EBITDA margin exceeding 90% for the quarter. Unit costs, excluding royalties of $290 per tonne, were also higher quarter-on-quarter as a result of cost escalation and inflationary pressures. The overall realized spodumene price was USD 5,783 per tonne for the quarter. Turning to Slide 11. The graph to the left shows results from Greenbushes, illustrating a strong production and cost profile over the last 18 months. Standing production and processing capacity is a key part of the Greenbushes growth strategy which involves the addition of 2 new concentrators, CGP3 and in the future, CGP4. During the quarter, the team progressed several of these key projects and related infrastructure, including advancing construction on CGP3 with the first ore targeted for mid-calendar year 2025. Progress on the mine services area which is advancing well and remains on track to enable the commencement of the new contract at Macmahon in the coming months. The new power supply from Bridgetown has been completed and is currently awaiting energization, and earthworks for accommodation village have commenced with formal construction to begin next quarter. Turning to Slide 12. Looking ahead, we expect the strong performance at Greenbushes to continue. Of note, quarterly sales were lower during the quarter due to the storage capacity constraint at [Bunbury] Port. However, we’ve seen the issue resolved and expect sales to rebound in June quarter to help offset this. The chemical grade spodumene price has reset to USD 5,444 per tonne for the June quarter, which continue to underpin strong margins at Greenbushes. We expect full production and cost to be at marginally above guidance, reflecting a strong production expectations for the June quarter. From a capital perspective, third quarter ‘23 was $122 million, which is behind schedule with a slower rate of spend over a number of projects. CGP3 CapEx, previously guided at around $500 million to $550 million is under review following some challenges related to earthworks and geotechnical pilot. While a review is underway which is planned to be completed next quarter, IGO expects costs could exceed the contingency provided in our guidance range. We’ll be in a position to provide an update on the completion of this review at the end of the quarter. Turning to Slide 13 and on to an update of the Kwinana refinery. The Kwinana team has continued to progress rectification works on Train 1, as noted in the prior quarter. Production rates have progressively improved with total production of 963 tonnes of lithium hydroxide for the quarter. Sales have also continued potential customers as part of the ongoing product qualification process during the quarter. The ramp-up team is preparing for a major shut commencing at the start of May. This will focus on the lithium hydroxide material handling circuit at the back end of the processing plant. At the completion of this shut, we’re expecting to see an improvement in production as we work towards achieving 60% to 70% of nameplate production by the end of this calendar year. Turning to Slide 14, where we’ll move to the discussion of our Nickel business. Then Slide 15, we will start with Nova. It’s pleasing to report solid recovery of our Nova operation following the production disruption caused by the fire in December last year. Order and production of all metals improved approximately 30%, while cash costs reduced 28% to $3.79 per pound. While operations have recovered well, the quarterly result was impacted by intermittent power supply issues that have persisted as well as a result of the temporary power station. This has coupled with some constraints to paste production during the quarter. Issues at the paste plant have been resolved, and the site, power, supply and reliability is expected to improve from the commissioning of new battery energy storage system in connection with Nova’s solar farm during the June quarter. Sales revenue and EBITDA from Nova rose quarter-on-quarter due to higher sales, offset by a 6% decrease in realized nickel price. Turning to Slide 16. At Forrestania, quarterly performance was challenged by lower ore availability from both Flying Fox and spotted Quoll mines, resulting in a 5% lower nickel production quarter-on-quarter. Ongoing sites we issued at spotted Quoll have necessitated greater rehabilitation work and long reentry times after black blasting, while poor ground conditions at Flying Fox the third accents to some high-grade stopes to later quarters. Nickel sales of $58 million for the quarter was 36% lower than the prior quarter, impacted by trucking availability and road closure due to poor weather. Trucking availability is expected to improve during the June quarter with additional haulage contractors deployed to help draw down on the large concentrate stockpiles that have materialized at Forrestania. Cash costs of $10.27 per pound were lower quarter-on-quarter benefit from savings generated by the Nova blending agreement, including unlocking payable, cobalt credits that were otherwise not realized and saving on, on-site cost with no export sales under the new agreement. Underlying free cash flow remained strong at $32 million for the quarter. Turning to Slide 17. Development of the Cosmos project is continuing at pace. During the quarter, shaft and Headframe construction proceeded to plan, including the first league of the shaft and paste plant completed. In addition, construction was completed in the new Aerodrome with the first flight celebrated last weekend. Total CapEx for the quarter was $97 million, with FY ‘23 year-to-date CapEx at $240 million. This is below forecast due to some work being completed later than planned. However, the project delivery time remains on schedule and on budget. Turning to Slide 18, where I’ll briefly discuss progress on our downstream nickel strategy. Earlier we start IGO and our partner, Wyloo Metal, announced the allocation of a strategic piece of industrial land at Kwinana for a proposed integrated battery materials facility. This is an important milestone in our ability to produce battery grade, chemical cathode precursor in an integrated facility here in Western Australia. While any investment decision will be subject to securing a PCAM partner and a positive outcome for the feasibility study, IGO and Wyloo share a vision to produce low-cost, low-carbon responsible-produced battery chemistries or what would be the first integrated facility of its kind in Australia. We look forward to keeping the market updated as we progress discussions with respect to potential partners and as the feasibility study progresses. Turning to Slide 19 and on a brief outlook of the nickel business. Production and cost guidance in Nova and Forrestania remain unchanged. We’ve made some minor changes to CapEx outlooks with some Nova CapEx being deferred into FY ‘24, while a slower rate of spend at Cosmos to date means we expect full year spend to be under where we had previously expected at between $330 million and $360 million. We have also advised from today’s results that we anticipate recording an impairment against the assets acquired from Western areas. The impairment reflects several changes compared to our expectations when we acquired the Western Areas assets last year. These changes include cost escalation, which have been widely reported across the industry; higher CapEx cost at Cosmos as referred to in our September 2022 quarterly report; mine scheduling changes and delays in the mining of AM5 and AM6; and the general underperformance of Forrestania. As we’re currently working on our first annual life of mine and budgeting process with the new sites and the fact that any impairment will be dependent on the processes, together with macroeconomic inputs at the time of testing, we are personally not in a position to provide the market with a probable impairment value or a range of values with any sufficient detail of certainty. We are currently, however, confident that our impairment charge will need to be recognized in respect to the Western Areas’ assets acquired in our 30 June 2023 financial statements, and as such, have elected to advise the expectation in advance, while we continue to work through the budget and impairment testing process. We’re looking to complete this process as soon as possible and expect to be in a position to update the market further during the June quarter. The impairment will be noncash and will not impact underlying full year EBITDA. Turning to Slide 20, where I’ll provide just a few comments on our exploration activities for the quarter. Moving to Slide 21. Exploration during the quarter focused on the southern parts of Australia, specifically the Fraser Range, Forrestania, Western Gawler, Copper Coast, Broken Hill and Greenbushes-Bridgetown projects. One program of note is a detailed review on sampling of lithium-bearing pegmatite intrusions encountered in previous drilling at the Forrestania project. This work is solving some interesting results and we expect to commence drilling this quarter. We also continue to test nickel sulphide targets around surrounding Silver Knight Prospect with further drilling expected in the current quarter. Turning to Slide 22. Before wrapping up with summary, I’d also like to provide some commentary on behalf of the Board on the CEO search process. Shortlisted candidates have been interviewed by the Search Committee. Final interviews before the whole Board will take place in the coming weeks with the decision expected to be announced in the coming quarter. As you may have noticed in the quarterly, I’ve made a personal decision not to participate in the process. I look forward to leading the company as acting CEO through this transition. To summarize fourth quarter. Our business has continued to deliver outstanding financial performance with another quarterly record EBITDA and NPAT results. Free cash we are generating has enabled the rapid downpayment of our revolving debt facility, putting IGO in a strong balance sheet position with just $9 million net debt. This has largely been underpinned by Greenbushes, which is generating strong margins and driving dividend flow through TLEA to IGO, while at the same time supporting the production ramp-up at Kwinana. In our Nickel business, Nova has recovered incredibly well from the fire last year, and we continue to improve the performance at Forrestania. The Cosmos development project remains on track, and we have made the first steps towards our downstream nickel strategies with the recent announcement of securing strategic land at Kwinana. As noted, we have also advised of an expected impairment on the ex-Western Areas asset as we’ll update the market on this in the June quarter. Thank you for joining us on the call this morning, and I’ll now hand back to the operator for questions.
Operator: [Operator Instructions] Your first question comes from Rahul Anand from Morgan Stanley Australia.
Rahul Anand: Look, my question, and I know you’re only allowing one, is around CGP3. Just looking for a bit more visibility around I guess the challenge ahead of you, some timelines, how we should think about those cost estimates. Perhaps a bit more color would be much appreciated.
Matt Dusci: Rahul, yes, I can give a little bit of color on that. With CGP3, what we’re doing is building part of the wet plant on its tailings that we’ve done on the design on the tailings dam. As part of the detailed work, we’re looking at the geotech and the earthworks and the piling. The team here is just looking through final design on those pilings and then refeeding that through to a capital cost estimate. At the moment, it’s pretty preliminary. So it’s actually we don’t have a good understanding of what our cost would be. So we’re just flowing into the market that there is a potential that we could actually exceed our contingency. When we provided a range on that contingency, we talked to a $500 million to $550 million. So we had around about $50 million of additional in our guidance. We’re not sure whether that will exceed that at this point, but we’ll have clarity during the quarter.
Rahul Anand: Okay. Understood. Okay. And perhaps just one follow-up then in terms of projects still -- the downstream project ramping up, the 60% to 70% throughput expectations by the end of the year. Has there been any update in terms of product quality, et cetera? You did achieve battery-grade production, but I mean I wanted to understand the product quality going forward after these changes that you’re expecting? And then also whether you still envision getting to 100% of capacity for the project there?
Matt Dusci: Yes. Okay. So in terms of product quality, so we did 963 tonnes of lithium hydroxide for the quarter. That conversion to battery grade was around about 81% -- 80% to 85%. So we’re getting good conversion to battery grade as part of that quality. We’re in the process of doing qualification. So we know that producing battery grade qualification process testing required as you get integrated the battery supply chain. Once we have that qualification period or qualification through them, we’ll be in a position to sell more product out of Kwinana. But today, we’re not having any sort of challenges on quality. The key challenge on Kwinana is all about ramp-up and debottlenecking. We’ll have a shut coming up, and we’ll see an improvement on that production rate coming out of that shut in May, back end of next quarter.
Operator: Your next question comes from Matt Greene from Credit Suisse.
Matt Greene: Look, I’ll just follow on the Kwinana question, Matt. So with this -- these modifications in May, how should we be thinking about, I guess, the profile of this ramp-up? Because I mean, I recall part of this qualification process is TLEA getting comfortable that you can supply them, not only the quality but also the volumes. So will these modifications allow for a bit of a step-up change? And could these changes in May push you up to that 60% level? Or should we be thinking of perhaps 40% with another step change with the next shutdown later in the year? How should we just -- I guess, should we be taking more linear ramp-up here or more for the incremental step up?
Matt Dusci: Yes. No problem with that. Yes, and we are well. So yes. So just to give you a bit of guidance on that how that profile looks over the calendar year. So we remain confident that we’ll achieve between 60% to 70% of nameplate capacity at the end of this calendar year. We have 2 major shuts planned during the calendar year. We’re coming into the first shut in May. What that shut does is it really focuses on the lithium hydroxide handling system at the back end of the plant from the -- basically from the centrifuge of the drives for each of the -- from the crystallizers into the dryer. What -- that has been a real constraint to production. There’s an expectation, once we finish that shut, change our screw feeders, change our bins and liners and chutes, we’ll see a step up. We will not get to the 60% to 70% from this May shut. We’ll have to continue to drive improvements through the calendar year to get to that 60% to 70%. But it would be fair to say that at the back end of June, we would anticipate to see closer to the 40% range.
Operator: Your next question comes from Lyndon Fagan from JPMorgan.
Lyndon Fagan: I was hoping to talk a bit about the Greenbushes Mine plan. We’re still pulling out really elevated grades around 2.6%, which is fantastic. But can you give a little bit of a sense as to how sustainable those high grades are? And when we kind of see it get back down to the 2% level. And I guess related, we -- when do we actually see the ore mine pick up, which is, I guess, in line with some of the Tianqi guidance that was originally out there?
Matt Dusci: Certainly. Yes. So at the moment, we are seeing higher grades, and we continue to have that ability to feed higher grades through that Greenbushes. And when you’ll start to see grades normalize to 2% out of the mine is once we start to do significant material movements with the mines contract coming in. We’ll see a ramp-up in material movements over the back end of this calendar year and then into -- majorly into next calendar year. And that’s timed with Macmahon’s change of mining contract demands coming into Greenbushes and ramp-up of waste movement as well, which will open up more of the ore body as per the mining plan.
Lyndon Fagan: And so just to clarify, once that material movement does ramp up, is it right to think that 2% is the sort of grade at that point?
Matt Dusci: Right. So each of the processing plants have a different head grade that they’re designed to treat. So if you look at -- when you look at each of the processing plants, they’ll have a different feed grade. But the whole -- the life or the reserve of Greenbushes is the 2. So it will normalize around about the 2%, but it may vary. Different head grades use a different plant.
Lyndon Fagan: And just a quick clarification, if I may. Appendix 6, the CapEx for Greenbushes, does that include everything? And I guess if it does, it looks like you’re running behind guidance? That sustaining an improvement and deferred waste, is that the entire CapEx for the site?
Matt Dusci: Yes, that is the entire CapEx for the site. And you are correct in terms of forecasting capital over quarters and for the periods. We are running a bit behind. And we saw that also with Cosmos and Nova. It’s got to do with forecasting of capital spend.
Operator: Your next question comes from Jon Bishop from Jarden Group Australia.
Jon Bishop: You make a comment in the release. You talked about no change to guidance for the Lithium business outlook in terms of production, and that relates to some price disparities for lithium product streams. Can you sort of bare down a little bit more detail there and what that actually means? Is that referencing the technical grade portion of your production?
Matt Dusci: Yes. Jon, it’s always a pleasure to take a question. So we’ve got some commentary in there just talking a little bit about market. And as we’ve seen in the market, what we’ve seen is a volatile market with lithium. And maybe -- and that volatility is largely driven by a disconnect between lithium -- carbonate hydroxide versus raw material inputs. You mean that there is always, at the moment, there is that conversation. So we’re just working through that market that having an integrated business provides a little bit more certainty about that variability that we do see in the market. Some of that, you would expect to see some form of impact at some point unless the market doesn’t correct itself where carbonate prices and hydroxide prices rebound.
Jon Bishop: So can I just clarify then the comment there, in that text, it talks about changes to production guidance. Is that a reflection of the joint venture considering whether it withhold some material for better pricing environment? Or is it a change in product mix? If you just sort of clarify that comment?
Matt Dusci: Yes, there’s always that sort of options that the joint venture can do depending on where the pricing goes. But having integrated businesses ensures some form of protection on that. We just wanted to provide clarity as part of that uncertainty that we remain on track to deliver to FY ‘23.
Operator: Your next question comes from Levi Spry from UBS.
Levi Spry: Maybe -- sorry, can you just explain to me what you’re seeing in the market a little bit again. I missed some of that, but we’ve just got the Pilbara coal, [indiscernible] on the market, maybe better improvement in the second half. But what are you seeing post this quarter?
Matt Dusci: Yes. Look, I mean, what we see is volatility in the market. And we talk volatility, and that volatility is largely driven by how the market is necessary, but that efficient at the moment, how it’s pricing all lithium products across the market. And effectively, it shows the value of having an integrated business when you build out these complicated markets and integration because you never get balance across all these markets. Carbonate pricing compared to raw material supply, if you adjust a carbonate producer, you’ll be challenged in this sort of market.
Operator: Your next question comes from Kate McCutcheon from Citi.
Kate McCutcheon: A question on Greenbushes. From your realized pricing, it seems like the technical-grade product is sort at a discount. And if that’s correct, is the JV considering it all if it’s worthwhile continuing doing that product given the added complexity to the mining operations that it brings?
Matt Dusci: Yes. Okay. The technical grade pricing is largely driven by longer-term contracts, and I can’t really get into a lot of that detail of how that pricing mechanism works. Effectively, to the cost of Greenbushes is you’d expect to see technical grade pricing to increase the aligned to chemical grade pricing a bit once funds contracted is aligned. In terms of cost to Greenbushes, with the new mining fleets with the ability to open up more areas, et cetera, probably -- I mean originally, we thought it might have been a bigger cost structure than it probably is. We still have the flexibility to mine some of those technical grade units without bringing any cost to the operation.
Kate McCutcheon: Okay. So your thinking has progressed a bit then since I think the last time?
Matt Dusci: Yes. The thinking has progressed a little bit. And that’s largely because you’re turning over so many benches and you’re opening up so many new mining fronts that you’ll actually be exposing that higher-grade technical grade part of the ore body quicker anyway. So if you can, you might as well. If you got the opportunity then you might as well take it and then stockpile it separately.
Kate McCutcheon: Okay. And so then you expect that pricing to converge moving forward, so it won’t be as much of a headwind?
Matt Dusci: Correct.
Operator: Your next question comes from Hayden Bairstow from Macquarie.
Hayden Bairstow: Just a quick one on the Western Areas assets. And then I presume most of the internal value would have been on Cosmos anyway. So is there something that’s potentially shifting there in terms of the development timing or the ultimate production rates you’re thinking about that’s driven this? Or is it more just a sort of auditing nickel price assumption and hence, you have to bring the valuation back?
Matt Dusci: Yes. I think it’s a little bit more -- it will be a little bit more than just nickel price assumptions. So remember, we’ve seen the capital costs. We’re also seeing escalation in operating costs across the market. And then the other potential impact is when we can get AM5 and AM6 into the schedule. So we’re really working through all that at the moment to provide that clarity when we look at coupled with macro testing, et cetera.
Operator: Your next question comes from Kaan Peker from RBC.
Kaan Peker: Just a quick question on the Nickel business. On the quarterly, you mentioned that payability for blending Nova and Forrestania product. Both concentrates already get good payabilities. So you made a minor impact on the penalties. And I think you mentioned cobalt credits there. Can you just expand on that a bit?
Matt Dusci: Okay. And I’ll let Kath answer that one.
Kath Bozanic: Yes. So it is -- you are correct. It is an impact on penalties and payability as well as the cobalt credit. So as we anticipated last quarter, the blending strategy does generate a reasonable amount of value for us. We get lesser arsenic penalties through the -- on paper blending, the benefit of having Nova in there against the Forrestania product and also achieving the cobalt credits out of Forrestania in respect of the fact that we can blend up with Nova. The other -- the benefit we’ve got is actually a reduction in costs and everything because of the fact that as you put it through the plant at Forrestania, you need to clean up less in order to get rid of more of the arsenic. So there’s multiple benefits of going into a blending strategy.
Kaan Peker: Sure. Just maybe following on with that. I think when acquiring Western Areas, that blending strategy was considered a key synergy. So how are those blending synergies tracking to what your expectations were? And if I remember correctly, that blending would allow you to possibly target deeper mining at Forrestania. Is that still the case?
Kath Bozanic: So at the point of bid, we knew it was a synergy, and we quantified part of it, but it’s pretty hard to quantify a hell of a lot -- model at that stage. We’re tracking well. We’re actually achieving a lot better outcomes from that than we would have ever anticipated at the time of the bid.
Kaan Peker: From the targeting of the mining at Forrestania?
Kath Bozanic: I actually can’t hear you.
Matt Dusci: Yes. So the targeting -- so will it make a big impact to additional material coming into the resource and reserves? Unlikely. It will drive an incremental improvement in cutoff grades, but it won’t drive a fundamental shift. What we do have is ability to have more flexibility of mining different areas, which will unconstraint the mine plans versus bringing additional resources -- significant additional resources to account.
Operator: Your next question comes from Mitch Ryan from Jefferies.
Mitch Ryan: There was a comment in the call that sales at Greenbushes has been from higher-grade spod in the quarter. I just saw that all Greenbushes sales were at an SC6 range. Can you sort of put some more metrics to the grade over the last 2 quarters?
Matt Dusci: Yes, there will be an SC6 -- it is our SC6 range for all chemical grade.
Mitch Ryan: Okay. So then the technical grade, spod grade that moved around in the quarter that drove that then?
Matt Dusci: Yes. So technical grade there is SC6 -- all chemical grade that’s SC6 spec.
Kath Bozanic: I think what you might be referring to is the mix between technical and chemical grade and that shifts from a quarter-to-quarter perspective.
Operator: The next question comes from Hugo Nicolaci from Goldman Sachs.
Hugo Nicolaci: Just one around mining contractors for me. I think Greenbushes switched over to Macmahon at the start of the year. We’re seeing issues on mining at [indiscernible] and a couple of other assets. I just wanted to ask how that contractor transition to Greenbushes is going and if you can provide sort of any updates around that, that would be great.
Matt Dusci: Yes, perfect. That contractor transition actually starts now. So we’re expecting to have that transition. Our transition is mid-calendar year. So Macmahon’s are on site. Macmahon’s are preparing for the transition. The team -- got a dedicated team looking at that transition, and they’re working through all of that at the moment, ready for change as of the mid-calendar year and then will transition over a 3-month period. So that at the back end of the calendar year, we’ll start to see ramp-ups from Macmahon’s production.
Operator: Your next question comes from Matthew Frydman from MST Financial.
Matthew Frydman: Sure. I’m interested in your comments around the CapEx spend at Cosmos and some of the delays that you’ve incurred. I guess, firstly, thank you for providing the tracking on the incurred spending to date. That’s always very helpful. But yes, interested in the work packages that have been delayed and really why you’re -- or how you’re confident in the view that those packages haven’t necessarily impacted your expected timing? Are they not critical past elements? And then also, you’re not expecting those delays to result in additional costs. So just wondering what gives you the confidence around that view?
Matt Dusci: Yes. Look, it’s a good question. It’s one of the challenges of actually estimating capital. And we’re actually going to be -- and it’s one of the steepest part of our capital expenditure. So we’re talking about capital expenditure over a couple of months as part of this forecast change. So in terms of critical path remain on track. We have completion of processing plant by GRES in September with first ore. And then the second part to that would be the shaft hauling system and middle size or under for December. Our all programs are work, although from a capital expenditure over the financial year versus -- remain on track for that program. So we don’t see any variances there.
Matthew Frydman: Got it. Maybe just a very quick one while we’re talking about capital budgets and CGP3 and the adjustments you’re making there. Can you remind me of the location of CGP4? Is that expansion subject to similar potential ground issues in terms of old pilings?
Matt Dusci: Yes. Good question. CGP4, I mean we’re looking at alternative sites basically for CGP4 so that we don’t have the same sort of challenges with CGP -- CGP3. So there’s a couple of options to actually have CGP4 next to CGP3 or essentially target a different site within the Greenbushes mining tenement to ensure that we don’t have geotechnical constraints associated with building plants or tailings centers.
Operator: [Operator Instructions] Your next question comes from Daniel Morgan from Barrenjoey.
Daniel Morgan: Matt, I just wanted to follow up on the spodumene price and potential volume risk this quarter. So the spodumene price is now fixed for the June ‘23 quarter, which reflected the market conditions in the March ‘23 quarter, but the hydroxide prices downstream have been in free fall. And this might mean that either your JV partners downstream or third parties that you might be selling to might make losses and, therefore, don’t want the product. Is that a risk to your volume from Greenbushes? Is that what you’re potentially highlighting? Or is this price mechanism still fit for purpose except for market is in somewhat of disarray between the 2?
Matt Dusci: Yes. That’s a good question, too. I mean, ultimately, if market -- what we, ultimately, as a lithium producer in a lithium market, we’ll be looking at effective pricing mechanisms between all products. And what we’re seeing is in an environment where we actually don’t have an effective pricing mechanism across all of the products. Will that have any question, well, does that have an impact on Greenbushes? Look, having an integrated business protects you from some of that sort of variances. But ultimately, if a market is imbalanced and continues to remain imbalanced, then things -- there’s got to be pinch points along the way. We don’t expect to see any challenges through every calendar year, that you’d expect this financial year but if you expect to see continuation of these sort of imbalances, then there could be changes.
Daniel Morgan: So just on that, I mean, your JV partners have integrated businesses, but your net long spodumene because Kwinana hasn’t ramped up completely. So is that a problem for you? Is the JV pushback would -- might they say, look, let’s not have the volume or might they say, well, this is not fit for purpose, and mid-quarter, we might have a change to the price mechanism?
Matt Dusci: Yes. I wouldn’t expect that. I would expect to have conversations with the shareholders to understand where their pinch points are. But ultimately, I mean ultimately, we feel that being the lowest cost producer of Greenbushes then it’s likely that production profiles would always continue.
Operator: Your next question is a follow-up from Matt Greene from Credit Suisse.
Matt Greene: Matt, I’ll ask one on the battery materials facility. Congratulations on -- in the land in Kwinana. A couple of parts to the question. What scale operations do you think this site could support in the studies? But I mean, ultimately, in terms of nickel feed, what sort of scale could you see there? And I guess, [indiscernible] to add an active cathode facility there in the future? And then just lastly, on the precursor partner. When do you think you’ll be in a position to announce this to the market? And I guess, what are the currents, were you working through with these partners? What do they need to see from IGO? Is this more a case concerns around the technology? Or is it more supply security of upstream nickel units? How should we be sort of thinking about that?
Matt Dusci: Yes. Okay. So we’ve always said there’s 3 key catalysts associated with the project. First one being securing land, which we’ve done with support of the WA government. It was a very strategic piece of land. There’s very little land available in Kwinana, so it’s great to see that we had to secure that in the WA government supporting us on this battery integrated facility. Second catalyst there is PCAM partner. We’ve always very clearly said that we don’t have the technology, and we’ll be looking at PCAM partner in to help us realize this, and that would be an equity position in the project bringing technology as well. And then the third is really about the feasibility and study and permitting, et cetera, to make sure that we have all the details before we make any sort of capital decision. In terms of scale, the land is sufficient to meet more scale so we’re not constrained by the land. So we’ve got the exact scale that we’re working towards as part of that feasibility study.
Operator: Thank you. As there are no further questions at this time, I’ll now hand back to Mr. Dusci for any closing remarks.
Matt Dusci: Thank you, operator, and thank you, everyone, for joining the call today.